Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter Fiscal 2018 Earnings Call for Cabot Microelectronics. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today's call, Ms. Colleen Mumford, Investor Relations Director. You may now begin, Ms. Mumford.
Colleen Mumford: Thank you. Good morning. With me today are David Li, President and CEO; and Scott Beamer, Vice President and CFO. Last night, we reported results for our third quarter of fiscal 2018, which ended June 30, 2018. Whether you are joining us online or over the phone, we encourage you to review the investor slide presentation that we've made available under the quarterly results section of the Investor Relations center on our website, cabotcmp.com. A webcast of today's conference call and a script of this morning's prepared comments will also be available on our website shortly after this live conference call. You may request any of the information by calling our Investor Relations office at 630-499-2600. Please remember that our discussions today may include forward-looking statements that involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from these forward-looking statements. These risk factors are discussed in our SEC filings, including our Form 10-K for the fiscal year ended September 30, 2017. We assume no obligation to update any of this forward-looking information. Also, our remarks this morning referenced non-GAAP financial measures. Our earnings release and slide presentation include a reconciliation of our GAAP to non-GAAP financial measures. Additionally, data is represented by rounded values throughout the discussion and in the supporting materials. I will now turn the call over to Dave.
David Li: Thanks, Colleen. Good morning, everyone, and thanks for joining us. Last night we announced another very strong quarter with record-revenue net income and earnings per share. This is the fifth consecutive quarter in which we have reported record-revenue. We believe that this strong financial performance demonstrates continued execution of our strategic initiatives, in addition to sustained, favorable industry demand conditions. Let me start by providing our view of global semiconductor industry demand as well as some highlights of our performance. Scott will provide additional details about our financial results later in the call. During the June quarter, we saw demand for our products remain strong across our memory, logic and foundry customers. In particular, the memory segment continue to be very strong and the continued transition to 3D NAND and strong demand for DRAM drove sales to our customers. Industry research would suggest that 2D to 3D NAND Wafer capacity is approximately 50% converted with the remainder expected to be completed over the next several years, providing additional anticipated momentum to memory growth. Despite some reported industry delays and capital equipment spending, we expect customers to continue to maximize fab utilization to satisfy demand which should bode well for continued CMP consumable growth. We also see continued capacity expansions in 3D NAND and DRAM primarily in Korea and China as demands remains robust and DRAM capacity continues to appear relatively tight. On the logic and foundry side, we saw continued solid demand for our solutions, particularly in the legacy technologies which support a broad range of applications including automotive, industrial automation and the internet of things. In the advanced technologies area, consistent with recent customer and industry reports, we saw some softness in demand as the industry appears to be gearing up ahead of anticipated new consumer product launches expected later this year. We continue to work closely with our customers to help them transition to new technology nodes that likely will require the use of more advanced technologies and new materials and remain confident about the long term growth prospects in this important customer segment. Now let me turn more specifically to company-related matters. This quarter we recorded strong results in all three key product areas: tungsten slurries, dielectric slurries and CMP pads. Geographically, revenues increased across regions, notably, revenue in Korea was up 57% and China was up 24% compared to the previous year. Turning to performance by product area. We delivered record-revenue in our tungsten slurries which was approximately 18% higher than in the same quarter last year. This growth was driven by the continued ramp of solutions supporting our 3D NAND customers as well as strong growth in logic and foundry applications. As mentioned earlier, we expect to continue to benefit from ongoing strong demand for memory as well as our customers' ongoing transition to 3D NAND over the next several years. In addition, during this quarter we achieved record-revenue from our dielectric slurries. This was primarily driven by increased demand and the benefit of customer conversions to our ceria-based solutions in advanced memory applications. These are higher margin products that provide lower total cost of ownership and better-performance to our customers. We are excited about the growth we see in the adoption of our advanced dielectrics products and believe we are well-positioned to continue growing revenue while also improving margins in this product area. Turning to CMP pads. Revenue increased 19% year-over-year as continued strong growth and adoption of our NexPlanar product line offset some softness in legacy pad revenues associated with weaker foundry demand. Our focus on potential new opportunities and our global support of customer qualifications remained catalyst for growth in our pads business and we remain confident of achieving our goal to reach at least $100 million in annual revenue by the end of fiscal 2019. Looking ahead, we are excited about our sustained strong performance. We feel confident about our ability to continue delivering against our long-term financial goals of growth faster than the industry as well as margin expansion. Although recent report suggest that industry growth may be beginning to moderate particularly on the capital equipment side, we believe our business model, which is consumables-focused and based on wafer starts will allow us to continue to profitably grow. As a result, we currently expect fourth fiscal quarter revenue for our IC CMP consumables business to increase by low single digits compared to the third quarter. And with that, I will turn the call over to Scott for more detail on our financial results.
Scott Beamer: Thanks, Dave, and good morning, everyone. My comments will generally follow the related slide presentation we posted on our website last night along with the press release. Let's start with an overview of our financial performance this quarter which is provided on Slide 3. Revenue for the third quarter of fiscal 2018 was a record $150 million, which was $22 million or 18% higher than the same quarter last year. The increase reflects continued strong global semiconductor industry demand and the focus on our three key product areas. Sequentially, total revenue increased $7 million or 5% with IC CMP consumables revenue up 5% which is at the higher end of our expectations that we shared on our previous conference call in April. Our net income of $35 million was also a record and represented an increase of $15 million or 76% over the same quarter last year, driven by higher revenues and increased gross margin. Non-GAAP net income was $36 million. Now, let's drill into revenue which is shown on Slide 4. As previously stated, we defined tungsten slurries, dielectric slurries and polishing pads as three key product areas that are strategically important to us. During the quarter, this accounted for approximately 80% of our revenue and I'll mention each in order. Tungsten revenue was a record $64 million, an increase of 18% compared to the same quarter last year. Dielectric slurries also delivered record revenue of $37 million, up 21% for the same quarter a year ago. Sales of polishing pads delivered revenue of $21 million, up 19% compared to the same quarter last year. Sales of slurry for polishing metals other than tungsten including copper, aluminum and barrier represented $18 million, an increase of 13% from the same quarter last year. Finally, revenue from our engineered surface finishes products which includes QED, Data Storage and Electronic Substrates was up $10 million, up approximately 13% from the same quarter a year ago. Now, please refer to Slide 5 which provides some higher-level P&L comparisons. Gross margin for the quarter was 53.6% compared to 48.9% in the same quarter a year ago. Excluding $1.3 million of amortization expense related to the NexPlanar acquisition, gross margin was 54.5%. Higher sales volume and higher valued product mix had a favorable impact on margins and more than offset higher fixed manufacturing cost including higher staffing related expenses. Year-to-date, gross margin was 53% compared to 49.7% last year. This includes an adverse effect of $3.9 million related to the NexPlanar amortization expense. Our gross margin improvement was primarily driven by higher volumes in tungsten and dielectric product areas as well as progress towards our ongoing initiative to transition our dielectric slurries portfolio to advanced higher margin products. Operating expenses which include research, development and technical, as well as selling in marketing in general and administrative cost were $39 million this quarter, an increase of $3 million over the same quarter a year ago. This primarily reflects higher staffing-related expenses and higher professional fees. As a percent of revenue, our operating expenses declined to 25.8% compared to 27.8% in the third quarter of fiscal 2017. Our operating margin was 27.9% in the quarter, an increase of 690 basis points from the same quarter last year. The increase was driven by higher gross margins and prudent control of operating expenses. The tax rate for the quarter was 18% which was below our previous expectation of 21% to 24%. This was due to a favorable impact of a change in a prior period tax position. Diluted EPS was $1.34 this quarter, which was also a record and represents an increase of 74% over the prior year quarter. Diluted EPS on a non-GAAP basis was $1.37. This was primarily driven by higher revenue and higher gross margins. Now, please refer to Slide 6 which provides some balance sheet and cash flow information. We generated cash flow from operations of $37 million. We ended the quarter with a cash and short-term investments balance of $311 million and had no debt outstanding. During April, we repatriated $200 million to the U.S. and paid off our remaining term loan of $138 million. Capital spending for the quarter was $6.4 million, bringing our to-date total to $15 million. Accordingly, our free cash flow was $30 million in the quarter. As previously communicated, we have committed to returning at least 50% of our prior year's free cash flow to shareholders by way of dividends and share repurchases. Through June, we have returned $51 million, which represents 85% of our full year targets to return at least $60 million. We'll provide some closing remarks on Slide 7. From a financial perspective, we achieved very strong performance this quarter including records for revenue, net income and EPS and I would like to highlight the operating leverage we are seeing on revenue growth. In the third quarter, revenue increased $22 million from the prior year while operating income increased $15 million, implying that approximately two-thirds of our incremental revenue dropped directly to operating income. Year-to-date, our operating leverage is 59%. Finally in the appendix on Slide 8, we provide a table showing updates to certain expectations. As we think about the fourth quarter of fiscal 2018, we expect solid demand conditions for our products to continue. With that said and as Dave mentioned, we currently expect fiscal fourth quarter revenue for our IC CMP consumables to show a low single-digit increase compared to our strong third quarter results. We are narrowing our full fiscal year of gross margin guidance to between 52% and 53% and we expect to be at the high end of that range. This would be consistent with our year-to-date margin of 53%. We also expect our operating expenses for the full fiscal year to be between $150 million and $155 million. We expect to manage our operating cost to provide strong operating leverage and net income growth. We continue to expect our effective tax rate in the fourth quarter to be between the previously communicated range of 21% to 24%. Our capital spending expectation for the full fiscal year remains between $18 million and $22 million. Now, I'll turn the call back to the operator as we prepare to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Edwin Mok with Needham & Co.
Edwin Mok: Great. Thanks for taking my question, you guys. Congrats for a great quarter. First, my question was for you, Scott. As I take on -- I knew your guys ratio of gross margin target for the year, but I can't get the midpoint or even higher end of that. It imply [ph] your gross margin will come down in the September quarter? Can you explain why?
Scott Beamer: I'm glad you asked that point, Edwin, because it's really important that we highlight that. Look, we have not communicated anything about margin pressures or deterioration in Q4. So year-to-date, we're at 53%. We said 52% to 53% as a range, but we said we expect to be at the high end of that range. So 53% for the full year, compared to 53% year-to-date, that implies 53% for Q4. Now, someone like yourself would point to our Q3 and say we just delivered 53.6% and you're indicating a 53% for Q4, what's going on with that? I would say at that point, we're probably beginning to split some hairs and 60 basis points that we just take our revenue for this quarter of $150 million, 60 basis points is $900,000 in pretax dollars and we don't report to try to forecast and guide within that sort of level of accuracy. I hope that that context helps. It's an important question, I'm glad you raised the point.
Edwin Mok: Okay. So maybe I'll ask you differently. On this June quarter, your margin is performing extremely well. Is dielectric a big driver for that? I think Dave mentioned dielectric was doing really well and all did we know that the new product is rising and it's margin [indiscernible], maybe you can kind of walk through what's the driver behind the very strong margin performance in the June quarter?
David Li: Yes. Thanks, Edwin. You know our product lines or main product lines very well. If you look at from a mixed standpoint, tungsten, we've talked about our strong leadership position there and that's above corporate gross margin. Dielectrics, that's the portfolio under transformation. So the newer products that we're really excited about and we continue to talk about our progress, those are also at or above our corporate gross margin. But then pads, an area that we consider our greatest growth opportunity is something below corporate gross margins. There is a mix factor as well. The way Scott described it is exactly the right way to think about it, but just in terms of those three product lines, they all come with different margin profiles as well.
Edwin Mok: Okay, great. May we move to dielectric? Just kind of focus on the growth there. It looks really good here and I think Dave, you mentioned that advanced memory was a big driver this quarter. Is that a way to think about where we are in that adoption curve? Are we in the first inning or in the fifth innings of advanced memory? I think historically you guys talk about [indiscernible] because you guys can offer a more cost as a matter of solution for customer. Can you talk about a way you can on that?
David Li: Yes. Dielectrics I think also, it gets a little bit less visibility than perhaps tungsten and pads for us, but we're really excited about it. First, Dielectrics as a total cam [ph] for CMP is actually the largest cam within CMP. So it's a big potential market that we can continue to grow in. Our products -- we talked about advanced memory and the growth there, that's the ramp up of some wins that we talked about a couple of quarters ago with some of the major memory manufacturers. But the portfolio that we've introduced with both ceria and colloidal is really applicable to both the legacy logic and foundry, as well as with the advanced memory. And I'd say we're still very early on in that conversion, but of course we're really encouraged and excited by what we see in the pipeline and then you see in the last couple of quarters have been record quarters for dielectrics, so we really like the momentum that we're seeing in that product area.
Edwin Mok: Okay, great. One last -- just quickly housekeeping question I missed that you mentioned -- sorry about that, but did you mention what tax issues [ph] for the quarter?
Scott Beamer: Yes. We're not changing that, Edwin. We still expect between 18% and 21% for the final quarter for us. We mentioned that we came in lower this quarter and that was an adjustment to a prior period tax position which was 21% to 24% for the quarter. Maybe I missed both, but it's on the slide. We expected 21% to 24% for Q3, we expect the same for Q4. Q3 actually came in lower because of this adjustment to our prior period tax position which was really a one-time item.
Edwin Mok: Okay, great. That's helpful. Thank you.
David Li: Thank you.
Operator: Thank you. Our next question comes from Mike Harrison with Seaport Global Securities.
Unidentified Analyst: Good morning. This is Jacob [ph], on for Mike. Thank you guys for putting out the slides last night. I really appreciate it. Busy earnings day today. Thanks for that.
Scott Beamer: Okay.
David Li: Thank you.
Unidentified Analyst: So my question -- you commented that given this delay that people are talking about on the memory side of capital spending that you expect customers can maximize utilization in the mean time? And also in the past, I think you've commented that pads helped improve yield? So for these customers that are looking to maximize their utilizations, do you think that the sort of delay could actually work out in your favor and be a positive?
David Li: Yes, Jacob. This is Dave. In terms of the memory side and the dynamic there, I think there has been a lot of attention recently on sort of the push outs of capital equipment spending and I think it's just a good point to just remind everyone that we are 95% consumables-based although the capital equipment cycle gets a lot of attention. We're really offset from that cycle and what we've seen is a lot of tools sold in to the industry over the last I'd say year and-a-half and those tools are just starting to come online in certain instances. So we're seeing strong growth and we're confident about continued strong growth in the memory area. Your question specifically around whether a delay would help us with certain product areas. We work with customers all the time, so our pads for example or even our ceria-based solutions that are primarily used in memory, all of those have some benefits to customers -- whether its lower cost of ownership. Our pads also have best-in-class defectivity, the ceria solutions that we have offer some really unique performance benefits. All of those are helping customers. I would say we continue to hope that the industry continues to move forward from a technology perspective and we're working with customers on advanced memory. I would say that there's just been a pause in the capital equipment cycle, but our momentum in terms of growth is really more towards wafer starts and we feel really good about that dynamic going forward.
Unidentified Analyst: Okay. Yes, that makes sense. And then looking at the pad growth over the past several years you've increased revenue sequentially every quarter and this quarter I think it looks like it's the first one that kind of slowed down. Do you expect that this was just sort of one-time thing? I know you commented that there was some legacy pad weakness, but do you expect a sequential growth cadence to pick back up next quarter?
David Li: First, I think more importantly long-term, we continue to be confident about our stated goals growing to $100 million or more by FY '19. The long-term growth story of pads, we remain really confident and excited about. We saw this quarter, we try to add some color there is we have a legacy pads lined that's primarily used in foundries. As you know, foundries had some weakness over the last several quarters, so we kind of attribute that softness to that foundry demand weakness, but we continue to see growth with our NexPlanar product line and that's really what we're excited about. That's the pad that we're really developing our slurries on going forward and that's the platform that we expect to really be proliferating the market with going forward. We really like the growth momentum, the pipeline that we see and so I wouldn't comment quarter-to-quarter, but the long term growth trajectory of pads, we feel really confident in.
Unidentified Analyst: All right. Thank you very much.
Operator: Thank you. Our next question comes from Chris Kapsch with Loop Capital Market.
David Li: Hi, Chris. Chris, you with us? All right. We'll go to the next one and maybe Chris can get back in the queue.
Colleen Mumford: Yes. Can we move to the next caller, please? Operator, are you with us?
Operator: Yes. I'm with you. Chris, your line is open.
Chris Kapsch: Can you hear me now?
David Li: Okay.
Colleen Mumford: Now we can hear you clearly. Thank you.
Scott Beamer: We got you, Chris.
Chris Kapsch: Sorry for the technical difficulties.
Scott Beamer: No problem.
Chris Kapsch: Yes. I wanted to focus on the really strong...
Colleen Mumford: Okay, it sounds like we're having problem with Chris' line. Maybe we can move to the next caller and then Chris could join again.
David Li: Yes. Sorry about that. I'll get back to you.
Operator: [Operator Instructions] Our next question comes from Amanda Scarnati with Citi.
Amanda Scarnati: Thanks for taking the question. Just talking about changes in materials that are potentially being used for netflow [ph] transition. Upon materials, just talked about cobalt. Can you talk about the opportunities that Cabot has in terms of slurries or pads with new materials being used on seven or five nanometer nodes?
David Li: Yes. Amanda, I think cobalt is one of those materials that's being considered and with some limited application in the seven and five nanometers for logic and foundry. You can be sure we have programs in place and are working closely with customers on cobalt and if that becomes a significant CMP opportunity, we expect to be right there and leading. I'd say for now, we of course expect and want to work with our customers to advance the technology. It doesn't appear that cobalt is right now a significant contributor to the CMP consumables market, but of course as we move to the smaller feature sizes, it may become important. There are other alternative materials as well that are being considered beyond cobalt, ruthenium and we've got programs there. As you'd expect as the leader, we've got programs in all these advanced materials, but what we see right now is the impact of a cobalt on CMP consumables is a pretty limited opportunity.
Amanda Scarnati: And that leads other opportunities, I assume would be combined in copper and other metals that are used until it becomes a larger portion of stealth potentially?
David Li: Yes. I think it's also the number of potential wafer starts, customers and applications. We hope also that there is new applications and use demand for advanced logic and foundry, but of course that's sort of where if there's any sort of sign of growth moderating, that has been the area that's been a little bit weaker than the rest of the market. For example where we participate, we provide our products to everyone that makes the chip, but we've seen the strongest growth from memory, legacy, logic and foundry and then advanced logic and foundry was a little bit softer from a demand perspective. That also contributes to the limited contribution from a cobalt so far.
Amanda Scarnati: And then could you just remind us about the JV in China and how that's tracking towards your expectations at this point I think is about a year or so into the JV? I mean you also talked about if you're seeing any sort of IP-related concerns or trade or tariff-related concerns in relation specifically to the JV at this point?
David Li: Yes. I'll cover the China partnership and I'll ask Scott to talk about the tariff situation. Obviously we're watching that closely. Just to clarify, that's not a JV. It is a good partnership we have with a company called KFMI where we transferred some of our advanced pads technology to them to provide local pads to our local customers in China. The relationship is strong, the partnership is under way and we did realize first revenue. We do think that's going to be a longer term play in China where we like our position. We have obviously liked the growth potential of pads, but these things take time. We say that's on-track for right now, but it's early stages of that partnership. It's not really a JV. In terms of IP, the way we've designed that partnership has also been very important to us where I think while we're allowing our customers in China to access our latest pads technology, we feel really comfortable with the way we structured that transfer so that we are protecting the sensitive parts of the technology for pads on our side.
Scott Beamer: Amanda, I'll comment in about the tariffs as it relates to any business in China. One thing that we think is a real competitive advantage for us is our global supply chain. We talk about the fact that we have 50% of our people and our assets in the region over there throughout Asia. We generally produced and supply to our customers locally so we think that that gives us a competitive advantage which we're really proud of. So far, any impact has been not material from anything that we see from a cost perspective. Broadly speaking, if there begins to be tariffs on the end products in which the chips are used, certainly that might have a headwind going forward for the entire industry. But we haven't seen any material impact from our cost perspective or otherwise.
Amanda Scarnati: Great. Thank you, guys.
Operator: Thank you. And our next question comes from Chris Kapsch with Loop Capital Market.
Chris Kapsch: Can you hear me now?
Colleen Mumford: Hi, Chris.
David Li: Yes, we can hear you clearly, Chris. We lost you halfway last time.
Chris Kapsch: Yes. Sorry about that. The question is focused on the strength on the oxide business and you called out ceria specially. I'm wondering just because it's more pronounced than when the memory industry first started shifting from 2D to 3D NAND, it was really all about tungsten slurry and the benefit there. But now it seems that this phenomena, this ceria-based slurry...
David Li: Chris, keep going. Your kind of in and out.
Chris Kapsch: Yes. I'm just wondering if it's a function of that material being consumed on the 3D NAND architectures with greater stacks or is it just sort of belated adoption? Was just wondering what's driving the outsized growth there.
David Li: Yes. We're really pleased with the growth we've seen with our ceria products and we see a really good runway there. Both of course -- when you transition from 2D to 3D, just to remind, there's basically a doubling of CMP steps and most of those steps are in tungsten and dielectrics. In particular, there have been some challenges in the dielectric CMP space where customers have asked us to help them achieve a certain performance, whether it's a staircase or a different kind of challenge with dielectrics polishing there. And our ceria solution is available to address those needs. So some of that is 3D NAND ramping up, some of that is actually displacement of competitors within a dielectrics area and else winning new business and then seeing that ramp up within the memory space as well. So again, we're really excited about the progress there and look forward to continued growth.
Chris Kapsch: And just a follow-up on the colloidal silica side, the oxide business. How far along is the transition as you see it from legacy products more commoditized to your advanced colloidal based silicas? And as that happened, that transition is more currently about the cannibalization of your own legacy products or are you also taking share in those applications?
David Li: The colloidal side of dielectrics is also an area where we're excited about the long-term potential of just broadly speaking if you divide colloidal and ceria, colloidal is more preferred or favorably used by our logic and foundry customers and there has been some softness in the advanced side. The legacy side has been going really strong so that presents some challenges just in terms of qualifications, speed and customers contain [ph] -- they really like our legacy products. As just an example, you may have noticed we announced a price increase on our legacy products. Some of that was to incentivize, motivate customers to perhaps move on to our advanced technologies and some of that is the colloidal platform as well. That's going along. We're seeing progress there, but not as quickly and not as strong of a growth trajectories we've seen in ceria. Longer term we think that is a really, really unique series of products on the colloidal side with performance that's not matched by anyone in the industry. We see strong adoption in the long term.
Chris Kapsch: Right. Okay, helpful. And then if I could follow up also, your formal comments around the NexPlanar pads and PORs, very bullish. What I'm wondering is though the future adoptions that you're seeing, are they sort of NexPlanar pads and standalone applications? Or are they being qualified as consumable sets and therefore pulling through some of your advanced slurry products as well? And also, are the bullishness that you expressed in terms of future PORs, is it balanced across foundry logic and memory, or is it more skewed towards I guess foundry and logic? Thanks.
David Li: We've seen adoption across all segment in all customer types -- both advanced and legacy. We mentioned I think several quarters ago that we're selling to just about all of the top 10 manufacturers. So those are pretty equally distributed amongst logic, foundry and memory. In terms of where we are in consumable sets, I think we're really unique and being the only company out there that can really truly offer a consumable set, given our broad portfolio, CMP slurries and then now our NexPlanar pad platform. I think you'll see us to be more active in that space in the future, but we're still really early on right now. Although some of those NexPlanar pads wins and ramp ups are with our slurries, I think when we go to market with a true consumable set, it's with the idea that we can provide customers with a differentiated solution and we want to make sure we're very clear on the value that we're contributing there. So I'd say we're still early in those efforts, but there are obviously some pads -- NexPlanar pads being used by our customers in conjunction with our slurries today.
Operator: Okay, thank you. Ladies and gentlemen, I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Ms. Colleen Mumford for any closing remarks.
Colleen Mumford: Great. Thank you. That is all the questions we have for this morning. Thank you all for your time and your interest in Cabot Microelectronics Corporation. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect and have a wonderful day.